Operator:
Operator’s Instructions.:
 Pete Majeski, iAdvise Corporate Communications : Thank you, and good morning everyone. Welcome to Compania de Minas Buenaventura’s Q2 2006 earnings conference call. Joining us today from Lima, are Mr. Roque Benavides, Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; and other members of Buenaventura’s senior management. They will be discussing Buenaventura’s results for the press release distributed yesterday evening. If you’ve not yet received a copy, please call us in New York at 212-406-3694 and we will e-mail you a copy immediately. Before we begin, I would like to remind you that any forward-looking statements we made today by Buenaventura’s management are subject to various conditions and may differ materially. These conditions are outlined in the last page of the company’s press release in a disclaimer, and we ask that you refer to it for guidance. It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides, you may begin.
 Roque Benavides Ganoza, Chief Executive Officer and President : Good morning and welcome to Compania de Minas Buenaventura's quarterly conference call. This quarter has been a very good quarter for us. Total revenues accounted for $168 million, 91% when compared to Q2 2005. Operating income was US$86.6 million, 212% over Q2 2005. EBITDA from our direct operations was US$84.9 million, 203% higher than in Q2 2005. EBITDA including Yanacocha and Cerro Verde accounted for $260 million, 123% over Q2 2005. Our net income totaled $138 million, 79% over 2Q 2005 and EPS were $1.09, 79% over Q2 2005. In terms of our net sales, $140 million in Q2, 97% above Q2 2005. Our average realized price of our gold US operations was $381 dollars, 5% over the same period in 2005. When we include Yanacocha, our average realized price of gold was $561, 36% over Q2 2005. Our realized price of silver was $12.14, 72% over Q2 2005 and certainly we have had better prices for lead and zinc for this quarter. In terms of our sales content, we have produced, from our own direct operations, 117,000 ounces in this quarter, 27% higher than Q2 2005. We produced, including Yanacocha, 460,000 ounces in the quarter, 13% higher than Q2 2005 and 4,400,000 ounces in Q2 of silver, 25% higher than Q2 2005. Our costs in net production have been in line. I would like to comment on the highlights of some of our operations. In Orcopampa, production is going very well, with costs in line with our budget. We are building a new crushing facility at Orcopampa that will enable us in time to increase some working capacity of Orcopampa. We also working on increasing the capacity of the treatment plant, in order to have additional treatment capacity. At Uchucchacua, I am very pleased to inform that we have started producing silver bars, silver bullion, and that the expansion of the metallurgical facilities is in place and we expect to be at full capacity in this plant probably by September or October. But the fact of the matter is that we are doing all this testing and the testing is looking very well. As for clarification, these additional activities will enable us to treat not only the per day load that we have at the mine, but also some off sites that we did not have the capacity to treat previously. In addition to that, we expect to treat the core entailings of the concentration plan. At Colquijirca where we have a 34.29% economic interest, production has been in line. We are having an excellent result from (Brocal?) and we expect that by the first week of October, we will be producing copper at this mine from the copper ore that we can't use at Marcapunta at a rate of 90 tons per day of concentrate running 18-20% profit. In terms of our affiliate companies, Yanacocha had an excellent quarter and an excellent first six months. We are still heading for 2.6-2.7 million ounces of production as of the end of the year, regardless of the fact that we have had an excellent first six months and that the new project would mean higher production. We are still looking for 2.6-2.7 million ounces at Yanacocha. It is important to mention that Yanacocha has successfully issued a bond issue of $100 million in the local market and this was released two days ago. The demand for this bond was double that figure, so $200 million. We are very pleased to say that we have had very good interest rates for this bond issue. At Cerro Verde, the copper production in this quarter increased by 6% and this is still the off sites that are being exploited. We expect to have the expansion of Cerro Verde by October this year. The construction is in line with the project and we expect as I say, and I repeat that production will be increased by October this year and it will be in operation. We have also had some positive exploration results at La Zanja in the (Turramelina?) prospect, at Los Pircos and at (Eli Lavaro?) which is a new exploration. We have some time on drilling results that we can share with you as is needed. Cesar Vidal is not with us this time because he had to travel, but we can expand on these positive explorations. May I just refer to the political situation for a second. Tomorrow, July 28, Mr. Garcia will become the new president of Peru. We believe there is a lot of excitement about that because the alternative was not the best one. So Mr. Garcia has been given an opportunity, everything that he has said is right, we expect the government to perform correctly, all the messages that he has given are all right for the business community. He is certainly very worried about his legacy, considering that his first government was not the best government that we have had in Peru. But he is certainly mature, 20 years later we expect he will do a good government. He has insisted many, many times that he would like to get Peru to investment grade, and to do that, if you all understand, we would have to perform in terms of economic results and certainly in terms of investments in the environment. May I just mention that there is a minor mistake in appendix number one, where we state that we have 18.3% at Sociedad Minera Cerro Verde - in fact it is 18.5% that we own of Sociedad Minera Cerro Verde and as you all know, we equity account this participation. With this, may I just turn to any questions and answers that you may have. Thank you.
Questions and Answers:
Operator:
Operator instructions.:
Q - Andrea Weinberg, Merrill Lynch : I want to say congratulations on the very good results in the quarter. I have a couple of questions, first on the political situation in Peru. What are the chances that you see Mr. Garcia increasing the royalties and taxes for the mining industry in the country? And the second question would be, that you've been having success in the exploration at La Zanja. Do you think that is leading to any progress on getting back to (inaudible) at some point over the next year or so?
A - Roque Benavides Ganoza : In reference to the royalties, I have to explain that the current situation is that the largest producers in Peru, other than Southern Peru Copper, all of them have stability contracts, meaning that even the current royalties do not apply to them. This government has stated very clearly that they are going to respect all contracts including established stability contracts, tax and stability contracts. In that respect, it would be absurd to increase royalties because those larger producers will certainly not pay those royalties. So far from increasing the royalties, we have some information that both Mr. Garcia that is considered to be the next prime minister, and Mr.Luis Cavanza(?) that is considered to be the next minister of the economy, have stated very clearly that they would like to change the royalties law and make it more technical, because today royalties are paid on the basis of sales and in Chile, for instance, it's paid on the basis of profits - operating profits. So to answer your question directly, we don’t see any royalty increase in Peru. We may see some changes in the royalty law and we'll see what happens. In any event, it will be certainly more technical as Mr. Luis Cavanza(?), the future minister of the economy, has stated. In the case of La Zanja, yes we have been improving the situation there in terms of the social items, although I don't like the term social items but in terms of the relationship with the community, and we are back, we are drilling, we have some results of those drillings and whether this will enable us to develop (terro pelez?) or not is another question. We think that the current situation is much better than the past situation of confrontation, and we will continue working as hard as we have been working and of course contributing with Yanacocha in trying to get to areas that previously we were not able to do so. It is difficult to say that this will take us to develop (terro pelez?) at this point.
Operator: You will now hear from Abhishek Agarwal with JP Morgan.
Q - Abhishek Agarwal, JP Morgan: Good morning. I have two questions. The first one is, in the Q2 2005 release, the total share in affiliated companies and dividends from Cerro Verde was 174 million sols. But the share in the affiliates stated in the current release is 146 million sols. And this reduced the EPS in sols from 2.11 reported in 2005 to 1.97 now. Could you please explain the reason for this change? And the second question is regarding the cost increases at Uchucchacua. The $0.65 increase due to higher treatment charges seems very large. Could you please let us know what the treatment charges were, by how much they increased and also whether the cost increase is due to the contractor workforce used in Huantajalla and Casualidad Alta areas that should be coming down in the quarters going forward?
A - Roque Benavides Ganoza : Just to understand the first question, could you repeat it again? Because you have a lot of details there.
Q - Abhishek Agarwal, JP Morgan: In the first question, basically Q2 2005 the release had a total of 174 million sols for shares in affiliated companies and dividends from Cerro Verde. The EPS in sols was 2.11. But this quarterly release, when we look at the Q2 2005, it seems to have changed to 1.97 in the EPS because the shares in the affiliates has been stated lower.
A - Roque Benavides Ganoza : You know that unfortunately this is new rules application, we now are equity accounting temporarily at the year 2005 and the Q2 2005, we did not. The rules say that while we put an equity accounting of the new company now we have to restate the greater percent, the results of this quarter, as it will have been reported in the past EBIT accounting. So this is just a difference in presentation. You know that before, only on investment, we reported so early only when receiving cash dividends and we have to simulate the fact that we reported in the past the equity accounting as we do now.
Q - Abhishek Agarwal, JP Morgan: Okay.
A - Roque Benavides Ganoza : So this is the explanation of that accounting rule. In the case of the Uchucchacua costs on the treatment charge, you know that we have a new report, the cash cost of the main production, which is silver, but we have zinc and lead production of concentrates. The zinc content, the zinc production is sold as a main concentrate and the treatment charge includes escalators, so when the price of zinc goes up, we have to add important charges that means go to $900,000 for this quarter. So that is our reporting variation. In addition to that, we have had difficulties in our operation. We had, as you know, a sad accident this quarter. We stopped operations for three days. We are hiring additional steel consumption to sustain the mining operations. Besides the fact that we are exploring and developing the up side area in Uchucchacua, to incorporate the (middle third?) and to exploit this in our new metallurgical facilities from September first.
Q - Abhishek Agarwal, JP Morgan: Okay. And the increase due to the contractor workforce - would it be right to assume that this was because of captured development and it should not happen or should come down in the quarters going forward?
A - Roque Benavides Ganoza : Well you know, we are just in preparation for this new operation which is the (ocasites?) area, so we are doing a very important, and perhaps (doubling the effort?), until we get prepared and once I expect from September, the effort of exploration on developing a new area would be a regular one.
Operator: We'll now hear from Victor Flores of HSBC.
Q - Victor Flores, HSBC: Thank you, good morning. I was hoping that perhaps you could give us a little bit more color on how production at Yanacocha will evolve over the remainder of the year, because given what you've produced YTD and given the guidance for the full year, we have to assume there's a pretty large drop in production for the second half. I didn't understand whether that is due to a lower amount of tonnage being placed on the pads to perhaps pad capacity constraints, whether much lower grades have been put on the pads now so that you know production is coming down or whether this is material that for some reason has lower recovery?
A - Roque Benavides Ganoza : Victor, how are you. The point is that we are forecasting reduced rates for the second half of the year with respect to that. Around 0.7 to 0.6 grams per ton. So compared with 1.1 or 1.2 that we produced during the first half of the year, this will finally lead to lower bulk production and of course, higher cash cost per ounce.
Q - Victor Flores, HSBC: Okay. Can you give us at this point in time a sense of where you think cash costs will be?
A - Roque Benavides Ganoza : In Q3 or the fourth one, we expect to re-use gradually this weight. The cash cost perhaps will be something in excess of $200. That's what we expect.
Q - Victor Flores, HSBC: Great, thank you. The second question goes to some of the developments that you've reported with respect to Marcapunta and I was hoping that you could give us a bit of an update on not only the development that's going on, but also this copper production that you've announced.
A - Roque Benavides Ganoza : This copper production will come essentially from an area that has been known for many years. It is a lower arsenic although we will be getting some arsenic in the concentrate. It is a small concentration plant for 1,000 tons per day and we consider this a pilot plant, looking forward to the development of Marcapunta and the ramp that continues as of today. So the thing is, 1,000 tons per day is not a large concentration plant and we believe that this will enable us to have a clear idea of the metallurgy of Marcapunta.
Q - Victor Flores, HSBC: So this is in preparation of the eventual development of the main Marcapunta?
A - Roque Benavides Ganoza : You can consider that in preparation, yes. And of course it continues with the very high copper prices. We think it is the right time to produce a little bit of copper.
Q - Victor Flores, HSBC: Agreed. A final question goes to what you've reported in your financial statements, which is an investment in the ETF and I would suspect that you've done this in a sense to offset the hedge book. I was hoping you could just clarify for us if you will that it is an investment in the gold ETF and if you could tell us also what the magnitude of that investment was in terms of ounces.
A - Roque Benavides Ganoza : Well, essentially, what we finally bought was in different involvement 100,000 ounces of gold. And yes, it's to offset the hedge book; we had a big discussion here internally whether we should buy back some of our positions or do it on a more market oriented way and buy some gold ETF. We decided to start buying some gold ETF with the excess cash and we have stopped doing that in view of the fact that the price of gold didn't continue going up. It's too difficult to deal with it. In fact, what we are doing with our hedge book is delivering into the hedge book and in turn, we are re-using the hedge book. But yes, to answer your question, it's a gold ETF, 100,000 ounces and it was done to try to offset somewhat our hedge book.
Operator: Moving on, we'll hear from Katie Blacklock with Thames River Capital.
Q - Katie Blacklock, Thames River Capital: Thank you, but my question's just been addressed. Thank you.
Operator: Moving on, we'll hear from Paul Rosenberg, Bear Stearns.
Q - Paul Rosenberg, Bear Stearns: Hi, congratulations on the quarter. I was wondering if you could possibly break out the contribution to revenues from the different metals - gold, silver, zinc, etc.
A - Roque Benavides Ganoza : That's a tough one. Well no, the thing is, I would say and this is just an estimate, I would say that we are still 75-80% gold and probably 10% silver, though copper has become more and more important. So it's difficult to say. I don't know, what do you think, Carlos?
A - Carlos E. Galvez Pinillos, Chief Financial Officer: Paul, unfortunately we don't have this detail of this breakdown right now. We have to review this because the contributions come in different ways. There are those that we consolidate and those that we do not. So let me work on that and I will pass this information on as soon as we have it.
Q - Paul Rosenberg, Bear Stearns: One more question, do you have any kind of guidance for gold volumes for the full year? From Buenaventura's own minds, not from Yanacocha?
A - Roque Benavides Ganoza : It's in excess of 400,000 ounces.
Operator: We'll now hear from Terence Ortslan with TSO and Associates.
Q - Terence Ortslan - TSO and Associates: Thanks. Could you venture a guess to where your ounce is going to be in your books by the end of this year from different processes and different prospective exploration programs ? What are you getting so far on where the biggest bounce is going to be?
A - Roque Benavides Ganoza : The bigger increase, you mean?
Q - Terence Ortslan - TSO and Associates: Correct.
A - Roque Benavides Ganoza : Well, the thing is, Orcopampa where we produce very close to 250,000 ounces, Antapite will be producing close to 110,000 ounces, Shila and Paula will be producing probably about 20,000-25,000 ounces and Ishihuinca will be producing about 25,000 ounces.
Q - Terence Ortslan - TSO and Associates: I was more referring to the reserves and reserve numbers.
A - Roque Benavides Ganoza : Well Orcopampa will have a substantial increase with the ramp that we are developing to develop in the deeper part of the mine. Antapite will probably be at the same level as this year. I would say that Ishihuinca, Shila and Paula, the smaller mines, will maintain their reserves and will be able to replace reserves. And in the case of Yanacocha, including some sulfites, will probably be flat, similar to what we have been reporting in the last year.
Q - Terence Ortslan - TSO and Associates: A follow on to the question on the Yanacocha, could you tell me what your costs per ton number is on Yanacocha and how it's shaping out to be? Thank you.
A - Roque Benavides Ganoza : Just a second. We're going to check that figure for you. Just a second.
Q - Terence Ortslan - TSO and Associates: I think in the meantime while you're looking at it, earlier this week at a conference call of operators in Peru, it was specifically stated that despite the stability agreement, there had been notions about royalty increases. Which kind of irked me, because although governments have all kinds of power to do whatever they want to break the stability agreements. They can regress it, they can change it. I guess the question really is, are there any other fiscal changes that effect in Peru, either positive or negative, it doesn't matter? It's still royalties. But first, how do you respond to these issues, and number two, any other fiscal arrangement changes in Peru?
A - Roque Benavides Ganoza : Personally I think we answered that question of royalty changes. We don't see those. That is very difficult, because there are tax and stability contracts and I cannot see that. The other question was - what was the last part?
Q - Terence Ortslan - TSO and Associates: Any other fiscal issues? I mean, depreciation? Or…
A - Roque Benavides Ganoza : Let me answer it this way - the Peruvian government has had a fiscal super audit last year and in fact there is at this point in time, no reason for increasing taxes. So I don't see that going forward either.
Q - Terence Ortslan - TSO and Associates: Actually, where is the mindset in the government on mining policy in Peru? Are they pro mining? Neutral mining? Or are they specific issues they want to address on mining?
A - Roque Benavides Ganoza : Whoever has a responsibility in dealing with an industry that represents 55% of net exports has to consider that industry as an important industry. So our feeling is that this new government will be pro-business in general, but we'll have certainly more leadership and more discipline and that will contribute with the mining industry.
Q - Terence Ortslan - TSO and Associates: If you could come up with the numbers for Yanacocha I'd appreciate that. Thank you.
A - Roque Benavides Ganoza : Calculating the figures you saw in the order of $2.40 per mined ton.
Q - Terence Ortslan - TSO and Associates: Per mined ton?
A - Roque Benavides Ganoza : Yes. Per ton mined, sorry.
Q - Terence Ortslan - TSO and Associates: That's for the year? Or that’s for the first half?
A - Roque Benavides Ganoza : This is the average of the quarter.
Operator: We'll now hear from Rafael Urquía from Citigroup.
Q - Rafael Urquía, Citigroup: I was wondering if you could please help me to understand what is the expected impact either in terms of additional production or additional reserves from the projects that you mentioned in your press release, namely Uchucchacua, Orcopampa and Marcapunta.
A - Roque Benavides Ganoza : Well in Uchucchacua, when the plant is operating at full capacity, we will be able to produce an additional million ounces of silver. In Orcopampa, as you know we produced last year 230,000 ounces and we expect to produce 250,000 ounces this year. And probably we would increase that a little bit higher in the next couple of years. In Marcapunta, we will continue and in (inaudible) in general we will continue to produce the same amount of zinc, lead and silver has gone somewhat up but we don't control that because it depends on the area of the open pit. In the case of Marcapunta, as I mentioned, we are going to produce 90 tons per day of copper concentrate, running 18-20% copper per ton. So that is the rate of production that we expect.
Q - Rafael Urquía, Citigroup: Just a follow up, any update regarding the work that the Minas Conga area?
A - Roque Benavides Ganoza : At Minas Conga, things are going fine. We continue drilling and we continue with the feasibility study. In relation to the local communities, it is very good. We think that there we have learned a number of lessons at Yanacocha that we have applied to Minas Conga and things are going on smoothly.
Operator: You have a question from Alonso Aramburu with Santander.
Q - Alonso Aramburu, Santander: Just a quick question on Cerro Verde, you mentioned that the expansion was going to be completed by October of this year. Does that mean the use separation of 200,000 tons by the end of this year?
A - Roque Benavides Ganoza : I would say that probably full capacity would be that in January 1st I would say. But there is always some minor details in when you start a new plant. This is a large plant, to potentially process 200,000 tons of copper per year and it requires some adjustments. The fact of the matter is that all the constructions will be ready by October this year.
Q - Alonso Aramburu, Santander: Okay, but full production of the 300,000 tons should start in 2007.
A - Roque Benavides Ganoza : I would say so.
Operator: We do have a follow up from Victor Flores, HSBC.
Q - Victor Flores, HSBC: Thank you. Just hoping to take advantage of the time we have to ask you for an update on (Poracota?).
A - Roque Benavides Ganoza : Poracota is - we are developing the feasibility of that project. We are taking some ore samples to have a better and clearer idea of the metallurgy - it's obvious that there are some ores within Poracota that are very amenable to flotation, incineration(?) and are very easy to treat and others that may be somewhat more difficult. We are ever grading the possibly of (auto place?) but this is early stages. We are essentially developing the project and we are quite excited. You know if I remember correctly, by October or September, Teck Cominco have to decide whether to continue with their 25%, or they sell it to us or they may also decide to claw back if the mine shows that it would have a production of in excess of 300,000 ounces per year. Which we don't see at this point in time. That of course all depends on the decision of Teck Cominco. At this point in time, we are managing the project, we have 75% of the project and that is the current situation.
Operator: We'll hear from Terence Ortslan, TSO and Associates.
Q - Terence Ortslan, TSO and Associates: Thanks - on your question, just back to the distribution of revenues and different metals, that's a fair question, but in terms of cash flow components, (inaudible) copper at $2, it's like almost the 8 ton a dollar gold. So what do the - if anything special you would have in cash or distribution of gold versus base metals?
A - Roque Benavides Ganoza : Let me insist on the fact that the investment that we made at Cerro Verde, that is our main copper producer, has been really with all due monetary (inaudible) has realized investment. It has been an excellent opportunity, we have a wonderful partner there, with (Fel Dutch?) and yes, copper should represent probably in the order of 20% or more of our revenues, with these prices of copper. We think that copper will continue at very good prices and certainly it balances our production of gold and silver and that I think is in the best interests of our shareholders. Carlos, do you want to add something?
A - Carlos E. Galvez Pinillos: Basically, we compared Yanacocha with Cerro Verde's contribution once Cerro Verde gets to the maximum capacity, I would say that will be similar.
Q - Terence Ortslan, TSO and Associates: In terms of capital?
A - Carlos E. Galvez Pinillos: Of the contribution to Buenaventura's profits and of course in terms of price, free cash.
Q - Terence Ortslan, TSO and Associates: That's interesting, because - I will go back and say that yes, Cerro Verde is a significant project, very well conducted and all, but I don't know if copper price is going to stay $3 or $4 a ton, but if it does, you're going to be having more than 20% of your cash flow from copper.
A - Roque Benavides Ganoza : Yes, that could be the case. If if if. If you give us the kinds of metals we can answer your question.
Operator: We'll now move onto (Damas Tentobasto, AGS ?).
Q - (Damas Tentobasto, AGS?): Hi, I was just wondering if you could maybe also provide us with an update as you had mentioned in the past that you were exploring in some other places in Latin America including Argentina, Bolivia and Ecuador. And given what's happened recently in Argentina with some mining legislations being pulled back or the attitude looking to change, I was wondering if you still have those and are still looking to do some exploration?
A - Roque Benavides Ganoza : We have essentially been looking at Argentina lately. We have attended with (Mr. Raoul Benaviea?) at his San Juan province conference. We think that San Juan province is very friendly to mining. That is where a possible mine is located. We are looking for a possibility there. In addition to that, we are looking for possibilities at the Santa Cruz province, where (Mr. Kushnev?) comes from, and there are a couple of claims that we still own in that area. A recent event at Chubut with the silver deposit in Argentina, there has been a recent settlement between two Canadian companies. That shows that there is a better attitude in Argentina and it's going to be interesting if they are able to develop that mine. (Escelle?) is a more difficult problem and we'll see, we hope one day it will be solved. In general, we continue cautiously optimistic about Argentina, but really we don't have anything complete in Argentina.
Q - (Damas Tentobasto, AGS?): What about in the remainder of Peru? When I met with Newmont, they mentioned they were looking at some other properties there and looking potentially to develop them with some partners. Have you had any further talks with them about other properties, other than Yanacocha?
A - Roque Benavides Ganoza : We have some ventures, we achieved exploration challenges of Newmont visiting us and yes, we have been discussing different alternatives and what we discuss with Newmont we discuss with other senior producers and of course we have our own exploration targets. In Peru, we have certainly a lot of land and we are working very hard. Most of our investments, certainly almost 100% of our investment in exploration is done in Peru.
Operator: There are no further questions at this time. I'll turn it back over to our speakers for any additional or closing comments.
Roque Benavides Ganoza : Well thank you again for attending this conference call. We are very pleased at the results of Buenaventura. The economic results are very good, from an operations we're also very pleased. We hope to continue delivering value to the market and that the market joins us and continues having demand for our stock. Thank you very much and have a good day.
Operator: Thank you. That does conclude today's conference call, we thank you for your participation, have a great day.